Operator: Welcome to the 2018 Third Quarter Conference Call for Genesis Energy. Genesis has four business segments: The Offshore Pipeline Transportation Division is engaged in providing critical infrastructure to move oil produced from the long-lived world-class reservoirs from the Deepwater Gulf of Mexico to Onshore Refining Centers. The Sodium Minerals and Sulfur Services Division includes trona and trona-based exploring, mining, processing, producing, marketing and selling activities, as well as the processing of sour gas streams to remove sulfur and refining operations. The Onshore Facilities and Transportation Division are engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. The Marine Transportation Division is engaged in the maritime transportation of primarily refined petroleum products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims; CEO of Genesis Energy L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer.
Grant Sims: Good morning and welcome to all. During the quarter, we completed the sale of our Powder River Basin midstream assets for net proceeds of approximately $300 million inclusive of the $30 million option payment we received in August. We used the proceeds to reduce the balance outstanding under revolving credit facility. As the term of our facility allows pro forma credit for this transaction, we were pleased to report our credit agreement leverage ratio at 5.24x Adjusted EBITDA at the end of the quarter. The closing of this transaction coupled with the improving financial performance of our businesses, makes us feel increasingly confident that approaching our leverage target of 4.5x by the end of 2019 is reasonably achievable. Turning to our financial results, our businesses continued to perform well in the quarter. We generated recurring financial results that provided for 1.65x coverage of our sequentially increased distribution. We believe the third quarter financial results represent the baseline performance of our businesses from which we expect to grow in this operating environment in future periods. We find it interesting that if you simply multiplied say 173 times four and divided it into our outstanding debt net of the proceeds we receive from the sell of our Wyoming assets, our leverage ratio calculated generally consistent with the terms of our bank facility would be less than 5x currently. In the quarter, we were pleased to see the increase in the contribution of our onshore facilities and transportation businesses primarily driven by increasing volumes flowing through our infrastructure in the Baton Rouge corridor in Louisiana. These increased volumes are the realization of the expected growth in this business that we have discussed over the last few quarters. We believe the market fundamentals are intact to see increasing volumes and margin contributions both in Louisiana as well as in Texas over the next several quarters to levels sustainable for certainly the next several years. While the ramp in contribution from our organic growth projects has taken longer than originally anticipated, we are beginning to see the expected results that underpinned these investments. Even after reflecting the sale of our Powder River Basin midstream assets, we would expect margin contribution from our onshore facilities and transportation segment to increase sequentially in the fourth quarter. This comes from physically handling increased volumes of crude oil rather than marketing or merchant fees which, for context, contributed less than $1 million for the third quarter. In our offshore business, we have continued to experience an inordinate amount of scheduled and unscheduled downtime at several of the production facilities connected to our offshore infrastructure. Notwithstanding these short term negatives, longer term we are quite bullish on, and pleased with, the activity in and around our substantial footprint of assets in the Gulf of Mexico. Additionally, we are currently seeing increasing demand for our assets from production that is currently dedicated to third party pipelines but is unable to get to shore due to such competitive pipelines being, in our estimation, oversubscribed. Given our excess capacity and connectivity on certain of our systems, we expect to benefit from this takeaway capacity constraint in future periods. Our soda ash operations continue to exceed our original expectations. We believe we are on track to produce $165 million to $175 million in margin for 2018, up from the previously discussed range of $155 million to $165 million. This is primarily driven by higher than expected ANSAC export pricing pushed by higher than expected Chinese domestic price influenced by high input prices, as well continued environmental inspection resulted in tightened export supply. Turkish supply from Kazan continues to ramp slower than expected and therefore has been unable to backfill the reduced and higher priced exports out of China. Worldwide demand for soda ash continues to be strong and we expect the market to be reasonably tight in 2019 and even tighter in 2022. Our refinery services business continues to perform at or above our expectations with increased volumes in the quarter. Margin in our marine segment actually increased slightly on a sequential quarterly basis for the third quarter in a row. We are reasonably hopeful we’ve put in a bottom for the quarterly segment margin from our entire fleet of assets, but we continue to have no expectation of the fundamentals for marine transportation showing any significant improvement through at least the next several years. We certainly have significant operational leverage and financial leverage if things improve sooner. We continue to enjoy a strong coverage ratio and remain on our path to naturally de-lever our balance sheet. With the sale of Powder River basin Midstream assets, we have minimal plan growth capital under horizon and currently we plan to use any excess cash to reduce outstandings under our revolving credit facility. We intend to be prudent and diligent in maintaining our financial flexibility to allow the partnership to opportunistically build long term value for all stakeholders without ever losing our commitment to safe, reliable and responsible operations. As always, we would like to recognize the efforts and commitment of all those with whom we are fortunate enough to work. With that I'll turn it back to the moderator for any questions.
Operator: [Operator Instructions] And your first question comes from TJ Schultz.
TJ Schultz: Hey, guys, good morning. Good quarter and just on the physical volumes into south Louisiana any context you can provide on the ramps there? Maybe what capacity you have to unload rail versus what is coming in right now? And how this may be churned in?
Grant Sims: We have the capacity to unload and minimally to probably two trains a day which would translate into about a 140,000 barrels a day. We think that if the railroads could schedule it properly that we could actually unload three trains a day, but currently we are approaching subsequent to the end of the quarter. We're approaching the equivalent of about to the average of almost two trains a day.
TJ Schultz: Okay and in South Louisiana, there's obviously been some focus on loop exports and the proposed swordfish pipeline from Raceland. Can you just provide any color on the competitive dynamic for you all and how that may be evolving if at all in the area amid some of this project?
Grant Sims: Not inconsequential amount of the volumes that we are currently receiving by rail are currently being exported there. We don't know if it's going internationally or exported to other domestic refineries, but we are loading it on marine vessels at our port of Baton Rouge. So we think that continues under the current market dynamics. Several of the proposed new pipelines that are being talked about coming from St. James down to Clovelly may or may not ultimately end up having some interconnectivity with our facilities at a Riesling, which is current, are capable of taking substantial volumes of crude by rail both Canadian as well as domestic volumes there.
TJ Schultz: Okay and then just moving to Texas. Are you flowing volumes north of Webster and what our expectations to supply into Baytown?
Grant Sims: We're currently flowing above the minimum volume commitment that we have from the Baytown refinery there. That's for the first time in a number of months or close to almost a year because of the ILI issues that we talked about on the downstream of Webster. So it's a --we would anticipate that everything else is saying that as we referenced I think through 2019 that we would anticipate to see increasing volumes flowing north from hoops and chops to get the viscosity the heavier barrel that the complex refineries need from going north towards Webster.
TJ Schultz: Got it. I understood. And just last one kind of a detailed question on the release in the select items there's like a $12 million dispute cost during the quarter. Just can you give some detail on that?
Grant Sims: We actually had a negative arbitration reward. It's not significant. It's not material. It's not recurring and it is specifically ignored by our banks for purposes of calculating bank EBITDA for covenant compliance.
Operator: Your next question comes from Kyle May.
Unidentified Analyst : Good morning. I was just wondering if you could give us an update regarding the potential timing and uplift that you're seeing or could see from capacity constraints on third-party offshore pipelines.
Grant Sims: We're starting to see it in this quarter. So subsequent to the end of the quarter for which we're reporting. We have been approached by a number of other shippers that have not yet contracted to move the incremental volumes on us. But we would anticipate that accelerating into the end of the year and certainly in to 2018 as the capacity constraints on the competitive pipelines are exacerbated by ramping volumes that are dedicated to them.
Unidentified Analyst : And can you talk any more about which of your pipelines could see that benefit?
Grant Sims: It's primarily Poseidon and Cameron Highway.
Unidentified Analyst : Okay, great. And one question on the soda ash or alkali business. Over the last couple of months, you've announced price increases for soda ash and other products in the alkali business segment. Can you talk more about the timing or cadence these prices will roll through? And how should we think about the magnitude of uplift to revenue?
Grant Sims: Typically domestic contract prices are kind of one to three to five year type contracts and prices for 2019 are generally set starting in late third quarter early fourth quarter. So I think that the announcements that you've seen coming from us on some of the specialty products especially and others reflects our view of what I said in our prepared remarks that 2018 looks to be reasonably tight. And getting even tighter going into 2020 and 2021. So I do think that we're anticipating that there is upward pressure on prices given the overall fundamental supply demand balances across the suite of products and that's what we --I mean, I think it will show in the 2019 results, that the effect of that.
Operator: Your next question comes from Patrick Wang.
Patrick Wang: Good morning. In offshore could you comment on whether customer communication regarding planned downtime has improved at all in recent months? I recall we've talked about the past instances were actually lagged those communicated expectations, has that improved at all or are you seeing any more consistency there?
Grant Sims: I would say no. In a simple nutshell, we continue to see bouts of unscheduled downtime in addition to pretty remarkable amounts of in drawn-out scheduled downtime. I think that in some cases it's actually in preparation to expand facilities. So ultimately I think we'll see the fruits of the short-term speed bumps that we've had, but as a general proposition and then I will point out that was not necessarily reflected in the third quarter, but there was a smaller occasion some downtime associated with it from the offshore, and that will show up in the fourth quarter which is fairly unusual to have any kind of weather-related downtime. I mean order of magnitude it could be it a million or so, so it's not significant, not material but just kind of --it's again, it's a little bit of a speed bump that wasn't otherwise anticipated.
Patrick Wang: Okay, that's helpful, thanks. And then bigger picture can you discuss your appetite for additional divestiture in general? Are any further divestures baked at 4.5x year on 2019 leverage target?
Grant Sims: We have not in kind of affirming that we believe that 4.5 at the end of 2019 are quite achievable. We have not assumed many other divestitures and arriving at that and reaffirming that kind of target.
Operator: And your next question comes from George Wang.
George Wang: Just on the marine transport segment, obviously you said that we might be near the bottom, so can you give more color just on the trend that kind of you are seeing on this segment and did you expect the segment to improve going forward or do you think it will be more also for cycles of slow down?
Grant Sims: I think what we're trying -- what we're certainly saying on the inland side and the dirty barge or the black oil side of the inland market, we're seeing high utilization rates and a little bit of increase in spot pricing which is indicative that things are kind of coming off of the bottom. I think that our coastwise or blue water especially, we have nine total offshore barge --offshore ocean going barges. The five that were under re-service which again is primarily black oil which is primarily what our focus is. We have fairly high utilization rates and reasonable pricing on that. The four that are in clean service because it's not really kind of poor or it's a smaller part of our business that struggles a little bit. So I mean I think all in all, George, as we said it feels like I mean I know it's minimal but at least we had kind of sequentially gone up for three quarters in a row after the bottom that we hit, and so to us it's indicative that we are putting a bottom in. And as we also said, we don't expect any kind of significant or dramatic improvement near-term.
George Wang: Got it, thanks. Then the last question just high level on the distribution policy, obviously you guys have ample coverage but when you turn the priority is the pay down debt, is the --still try to grow distribution kind of an instant sequential increase per quarter and just try to use that fixed cash to pay down debt. Is the thinking unchanged?
Grant Sims: I think it's something that we discuss at the board level on at least a quarterly basis. We, I think, I'm sure this doesn't come as a shock, but we're not overly pleased with where the underlying value of the units and or the yield if you will, the calculated yield especially in a context of continuing to grow the distribution but we evaluated on a 90 day, every 90 days if not more often than that. And I think the Board will try to make a reason business decision on what the highest value of incremental capital is. And but at this point, I would say that certainly through the end of this year that we're committed to stay on the $0.01 per quarter increase.
George Wang: Got you. One last the follow up here if you will, I just think in terms of potential unit buyback, is there any update on that or do you think that's still going to be long going discussion with the Board?
Grant Sims: I think it's again, it's-- that's one of the choices that we would have with the highest-valued use of excess cash. And it's certainly something that we would consider. We believe that's the highest, again, if that's the highest value use of incremental that we have.
Operator: At this time, there are no questions.
Grant Sims: Okay. Well, I guess that's the end of this quarterly call. And so we appreciate everybody's participation and we'll talk to you in another 90 days if not sooner. Thank you.